Operator: Good morning, ladies and gentlemen, and welcome to the 2025 Third Quarter Results for Russel Metals. Today's call will be hosted by Mr. Martin Juravsky, Executive Vice President and Chief Financial Officer; and Mr. John Reid, President and Chief Executive Officer of Russel Metals Inc. [Operator Instructions] I will now turn the meeting over to Mr. Martin Juravsky. Please go ahead, Mr. Juravsky. Thank you.
Martin Juravsky: Great. Thank you, operator. Good morning, everyone. I'll be providing an overview of the Q3 2025 results. And if you want to follow along, I'll be using the slides that are on our website. Just go to the Investor Relations section, and it's located in the conference call submenu. If you go to Page 3, you can read our cautionary statement on forward-looking information. So let me start with a little perspective on the quarter that's outlined on Page 5. If we look at the first 9 months of this year or trailing 12-month periods, we have delivered an improvement in trend line results. I'll talk more about this on another slide. But in summary, for the first 9 months of 2025 as compared to the first 9 months of 2024, we generated a 10% increase in revenues, a 100 basis point pickup in gross margins and a 13% pickup in EBITDA. This is a reflection of the impacts from our recent capital deployment initiatives, including 2 acquisitions last year as well as our ongoing capital investment initiatives. On the middle row of that diagram, Q3 CapEx was $15 million. This number is a bit below our expected multiyear run rate as some projects have been recently completed, and we are still scoping out some potential new opportunities. In particular, we expect to be moving forward on a series of interesting initiatives in Western Canada related to business improvement opportunities across the former Samuel and Russel operations as well as investment opportunities will emerge from the Kloeckner transaction that we recently announced. Capital deployment remained a little over $1.7 billion. Our capital grew from $1.3 billion at the end of 2023 to $1.6 billion at the end of 2024 to just over $1.7 billion on September 30. When the Kloeckner deal closes, we will be around $1.9 billion on a pro forma basis. At the same time that we are deploying incremental capital for the Kloeckner acquisition, we are also repatriating some capital in Western Canada. In September, we announced the closure of a branch in Delta, BC and the sale of the related real estate. This will release over $40 million of capital that was not generating an adequate return and was part of the broader initiatives in Western Canada that emerged as part of the Samuel's acquisition. When that real estate sale closes in the new year, we will have released over $100 million of capital in Western Canada and thereby substantially reduce the cost of the Samuel acquisition from the original $225 million purchase price to something closer to $100 million to $125 million. Generate strong return on invested capital. Our annualized return on invested capital was 16% for 2025 year-to-date. This level is greater than our stated target of over 15% over the cycle, notwithstanding some challenging market conditions and was greater than our 3 U.S. peers who have already reported their Q3 results. The annualized 2025 year-to-date return on invested capital for the 3 U.S. peers averaged less than half of the 16% that we generated. We grew in strategic ways. Our U.S. platform is 44% of year-to-date revenues compared to 30% in 2019. Once we take into account the Kloeckner acquisition, our U.S. platform will be over 50% of total revenues. We also have 11% of our revenues as specialty metals such as stainless and aluminum. On the last row a diagram, returning capital to shareholders. We have a balanced approach. In Q3, we returned $14 million via share buybacks and $24 million via dividend for a total of $38 million of capital return to shareholders. Maintaining a strong and flexible capital structure is critical as we operate in a cyclical industry. As a result, our liquidity is strong. We have flexible bank covenants, no financial covenants in our term debt and our maturities are 2029 for the bank debt and 2030 for our term debt. We are also pleased that S&P has recently upgraded our credit rating to BBB-. So we are now rated as investment grade by both S&P and DBRS, and this gives us financial flexibility as well as continued access to low-cost term debt if and when required. Let's turn to market conditions on Page 6. We saw sheet and plate prices exhibit a strong upward swing in the early part of 2025 because of the tariff dynamic. Prices have since come down and have stabilized over the past couple of months. The ongoing price dynamic will be driven in part by the evolving tariff situation. As a reminder, we are primarily a cost pass-through business with a lot of operational adaptivity to how and where we procure materials. So the key thing from a Russel perspective is to have tariff clarity and consistency for our suppliers and the market. Our shipment levels have remained solid in spite of the volatile price environment. We've experienced a slight seasonal slowdown in Q3 as is normal due to holiday-related schedules in July and August. Going forward, we expect the typical seasonal volume decline will come into play for Q4. On the bottom chart, we've shown aluminum and stainless prices as those are now a more meaningful part of our product mix. As shown on the chart, those products don't exhibit as much volatility as carbon as they have different supply and demand dynamics. On the right side chart, supply chain inventories in both Canada and the U.S. as measured by months on hand that you can see in the yellow line remains within the normal range. On Page 7, there's a snapshot of our historical results. And if we look across the various charts, starting with the top left, revenues were consistent around $1.2 billion for each of the past 3 quarters. EBITDA in the middle chart of $75 million was down from Q2 2025, but higher than Q3 of 2024. EBITDA margins at 6.4% for the quarter and 7.6% year-to-date were up over the comparable periods in 2024. Earnings per share was $0.63 per share and $2.45 for year-to-date 2025, which again were both up versus the comparable periods in 2024. I mentioned return on invested capital earlier. Our Q3 return on invested capital was down from Q2, but year-to-date 2025 came in at 16%. And as mentioned earlier, the bottom right chart, capital structure, we're in pretty good shape with net debt to invested capital at only 5%. On Page 8, going into our financial details a little bit more, top part of the chart from an income statement perspective, I covered several of the high-level items on the previous page, but a few other items to note. Revenues were down 3% from Q2, and I'll talk more about volumes later, but it was generally a pretty good shipping quarter in spite of the seasonal dynamic. Our Q3 results were, however, impacted by a few items. One, there was a $4 million onetime charge for the closure of our Delta, BC facility. On the plus side, we'll have a gain on that sale plus a gain on the sale of our Saskatoon property when they closed in 2026. Second, there was a $2 million tariff cost that was applied to materials in transit when the Canadian government changed the tariffs, and it was applied to in-transit goods from an overseas supplier. The Canadian government's rules have since changed, and we have filed an appeal for a refund on that tariff. The mark-to-market on stock-based comp was a $2 million recovery in Q3 versus a $3 million expense in Q2. From a cash flow perspective, in Q3, we generated $5 million of cash from working capital. There was a $46 million reduction in inventory, so the cash generated from working capital would have been higher if not for the timing of AR and AP right around quarter end. Share buybacks, as I mentioned earlier, $14 million for the quarter and the cumulative share buybacks since August 2022 are greater than 13% of our shares outstanding at the time for a little over $300 million or an average of $37.77 per share. Our quarterly dividend of $0.43 per share was paid in September, and we've just declared a $0.43 per share dividend that will be payable in December. Our CapEx of $15 million was down a bit from Q2, but we still have a pipeline of projects, and we should average that $90 million to $100 million per year for the next few years. From a balance sheet perspective, we remain in a strong position with net debt coming down, and it was only $87 million at the end of September. And lastly, our book value per share remains above $29 per share, and it grew by $1.27 over the past year in spite of the share buybacks. Page 9, we show our EBITDA variance analysis between Q2 and Q3. First, looking at the service centers on the left part of the page. The volumes were down a small amount compared to Q2, and this was the typical season factor that I already mentioned. The margin impact of $22 million was due to the market in general and the lag effect of steel price changes to inventories and cost of goods sold that I mentioned earlier. The $7 million variance in operating costs is driven by the $4 million delta charge that I spoke of and some other costs related to our Western Canada business as there are near-term operational impacts from removing and relocating a fairly significant amount of equipment across our network. Some of the equipment relocations are continuing, but it sets the stage really well once these moving pieces settle down in early 2026. Energy field stores down $2 million from Q2. Steel distributors had a solid quarter, and it was only down $1 million from Q2 in spite of the market dynamics and the $2 million tariff charge that I mentioned earlier. In the other bucket, there was a positive impact from the mark-to-market on stock-based comp that was offset by a decline at our Thunder Bay terminal operation from what was a pretty strong Q2 for the Thunder Bay terminal. On Page 10, this is a new chart. And I want to show the trend of our results from a slightly different angle. So let me start with a little bit of a description of what this chart is showing. One, it is a continuity that takes out the quarter-to-quarter noise as it's sometimes hard to see trends when looking at an individual quarter in isolation. So all the data on this chart shows trailing 12-month periods at the various points in time. Two, I want to show 2 time periods being pre-COVID and post-COVID. Pre-COVID is obviously the period of 3 years between 2017 and 2019, then excluded the COVID period of 2020 to 2022. And those years were quite unusual, as we all know, a really down year in 2020 and phenomenally strong 2021 and 2022. So those COVID years not that meaningful when looking at medium-term trends. The right chart reflects the most recent almost 3-year period of 2023 to 2025. So the takeaway, the pre-COVID period shows an average EBITDA of $270 million versus the post-COVID chart where the average EBITDA was $361 million, which is a 35% increase. Also, the chart on the right doesn't fully reflect the impact of the acquisitions that were completed in 2024 or the Kloeckner deal that has not yet closed. The point being that our average cycle EBITDA is now substantially higher than in the past. Also, if we look at the circled areas on this chart, it shows that the peak to trough range in the last cycle had a variance of $167 million in the 2017 to 2019 period versus a much lower variance of $127 million on the right chart for the most recent 3-year periods. The point being that we have raised the cycle average EBITDA and also reduced the cycle volatility. Lastly, if we look at the chart on the right, it shows a sequentially improving trend in trailing 12-month results. On Page 11, we have our segmented P&L information for Service centers. I'll go through this in more detail on the next page, but it was a down quarter versus Q2 due to the seasonal impacts of volume and the margin compression that I mentioned earlier. Energy field stores, we are continuing to see solid performance after a slow start to the year with EBITDA down slightly from Q2. Distributors revenue and EBITDA were comparable in Q3 versus Q2. So on Page 12, this is a deeper dive on the metrics for the service center business. The top right graph is tons shipped. Q3 was down a little bit from Q2 due to seasonality, but up over Q3 2024 on not just an absolute basis, but also on a same-store basis. I expect Q4 to exhibit similar seasonal patterns to typical Q4s with volumes being down in the quarter versus Q3. On the bottom left graph, we have revenue and cost of goods sold per ton. Realizations on price per ton were flat, while we had an increase in cost of goods sold per ton, which led to a decline in gross margins to $430 per ton in Q3 versus $487 per ton in Q2. Looking into Q4 a little bit, we saw that in August and September, the margins have stabilized, but were below the Q3 average. And I expect that we'll see margins in and around that August, September level for Q4. Page 13. We've illustrated our inventory turns. This chart shows the inventory turns by quarter for each segment, energy in red, service centers in green, steel distributors in yellow, and the black line is the average for the entire company. Overall, our inventory turns improved slightly to 3.8. And again, our guys do a really fantastic job in managing inventory through the cycle. Page 14, we have the impact of inventory turns on dollars. Total inventory was down about $40 million compared to June due to both lower tonnage and lower prices per ton. On Page 15, a quick update on our capital structure. Our liquidity is strong, which gives us significant flexibility. And as I said earlier, we recently obtained a credit rating upgrade from S&P. So we are now investment-grade by both S&P and DBRS. Since last quarter, our net debt was reduced from $104 million to $87 million, and our liquidity increased from $566 million to $600 million. The far right column of the table shows the impact of the Kloeckner acquisition, and we'll continue to have significant liquidity on a pro forma basis. Lastly, our equity base per share continues to grow in spite of the share buybacks and dividends, and we've grown our book value per share, and it's up $1.27 from this time last year. Page 16, just a summary of our capital allocation priorities. And again, very similar priorities of how we've talked about it in the past, and I'm going to go into a little bit more detail in a second. But overall, when we look at the capital allocation priorities on the left-hand side of the page, it is really focusing on all those initiatives and the most recent example being the acquisition of Kloeckner that has not yet closed, but we expect to close either the end of this year or the early part of next year and then the returning capital to shareholders, again, fairly balanced approach. Over the last couple of years, the average NCIB activity was $106 million, and the current run rate on our dividend is $96 million per year. Page 17, a little bit of context for our reinvestment program. Over the past 12 months, we've invested $81 million in CapEx. Q1 and Q2, we were down a little bit as some projects were completed, and we're still scoping out some potential new projects across the platform. Page 18, a bit of a deeper dive on the returning capital to shareholders. Left chart, longer-term growth profile on dividends with the most recent dividend of $0.43 per share per quarter, and we'll continue to regularly revisit the appropriate dividend level to take into account our capital structure and earnings profile as was done when we listed the dividend in May of 2023, May of 2024 and most recently in May of 2025. On the bottom left chart, we show our quarterly NCIB activity since it was put in place in August of 2022. I've said it before, I'll say it again, we don't have a fixed approach to the program as we view it as an opportunistic way to buy back shares, and we have been more aggressive at certain price points than others. In addition, you'll see that our activity in Q3 of this year was lower than the past few quarters as we were in a longer-than-normal blackout period when we were getting to the finish line on the Kloeckner agreement. On the bottom right chart, the impact of the NCIB has been a gradual reduction of our share count and resulted in a greater than 13% reduction in our shares outstanding. On the top right chart, the aggregation of dividends versus NCIB over the past 2 years shows a fairly balanced approach between the 2 tools. In closing, on behalf of John and other members of the management team, I'd just like to express our thanks to everyone on the Russel team for their contributions. In particular, I'd like to especially acknowledge those within Russel who are actively involved in the due diligence, structuring and transition planning for the Kloeckner acquisition. It's an exciting new project, but it was and continues to be a lot of work, and our team's efforts are very much appreciated. Operator, that concludes my intro remarks. Could you now open the line for questions.
Operator: [Operator Instructions] Your first question comes from Davis Baynton of BMO.
Davis Baynton: This is Davis on for Devin Dodge. Yes. Just wondering if you can give any incremental commentary to the operating costs and service centers. Russel has a strong track record of that flexible cost structure, but ticked up a bit higher in the quarter. I know some of that's due to the restructuring provisions, but just wondering on how we should think about that going forward heading into Q4.
Martin Juravsky: Yes. That's a fair observation. And my apologies for my droopy throat here. It was up a bit, and the primary reason why it was up a bit was because of the onetime charge that we took related to the Delta closure. But there was also some higher operating costs that are incurred primarily in Western Canada related to all the moving pieces. So it is a -- I characterize it as there's a one-off, and there's a little bit more of a one-off that will likely filter into Q4, but not as significant. So think about it as the higher levels included the $4 million. It included a few other things as we're moving a fairly significant amount of equipment, and that can be disruptive to operations in the near term. But that means that Q3 had higher operating costs. Q4 will probably come down a little bit, but not as down as they were in Q2. And then Q1 will probably be more back to normal.
Davis Baynton: Okay. That's good color. And then just shifting gears here. So the recognition from S&P as the investment credit rating, obviously, that's good. We're just wondering how far you can take up leverage while maintaining that rating as you still have some solid balance sheet capacity here?
Martin Juravsky: Yes. It's a really good question. And there's a couple of quantitative answers, but it's also a little bit more qualitative. The qualitative part is being committed to an investment-grade approach because that is -- it's a good capital structure strategy because it gives us the flexibility, gives us a low-cost approach. So I can point to an individual metric, but those individual metrics are more of guideposts. It really is a broader philosophy around doing a collective variety of things that maintain that investment-grade rating. Directionally, though, if you look at some of the commentary out of S&P or others, they'll talk about net debt to EBITDA being below 2x. We're well below 1x today. So we've got a lot of headroom to continue to deploy capital, but also maintain that investment-grade status that we've achieved.
Operator: [Operator Instructions] Your next question comes from Maxim Sytchev of National Bank.
Maxim Sytchev: Marty, I was wondering if you don't mind guiding a little bit when it comes to cost of goods sold in relation to the recent HRC pickup and how we should be thinking about it for Q4?
Martin Juravsky: Yes. My comment earlier was related to gross margins and what we saw in gross margins in August and September. And so in August and September, they were down, the gross margins were down from the Q3 average. But that was a case where effectively, at that point, we saw some leveling out of net realizable prices and also cost of goods sold. So the gross margins were sort of flattish in August and September. We're going to expect that to continue. So if we look at the Q3 average versus the exit level from the quarter, it was probably about a $25 difference between those 2 levels. So if you look at the Q3 average of $430 per ton of gross margin, a little bit below that was the exit level. And so when you're asking your question about cost of goods sold, effectively cost of goods sold and price realizations kind of held flat for the last couple of months to get to that level that I was just referring to. Does that answer your question, Max?
Maxim Sytchev: Yes, it does, yes. And then because obviously, you just announced the Kloeckner acquisition. I was wondering if you don't mind providing a bit of, I guess, the milestones that you're going to be looking to achieve from whether it's cost synergy or revenue perspective, how we should be tracking those things?
Martin Juravsky: John, do you want to tackle it or you want me to?
John Reid: Yes. Thanks, Max. I think -- and Martin, I'll probably just both tag team this. Obviously, the first milestone is getting to closure. And then we will move in quickly with our health and safety initiatives that we put in place day 1. And Kloeckner is a public company, has a good safety record, good safety program. We just want to make sure hires are in place and our training. There's some operational efficiencies. There's also some CapEx efficiencies we identifying through due diligence where we have the opportunity to improve the existing facilities in the first 180 days and then move into the value-added equipment opportunities that are out there. Ultimately, we'll move off their finance system by the end of the first year. And by the end of the second year, have to be off their ERP system and a shared services agreement we have with Kloeckner. So those will be milestones that need to be met as well.
Maxim Sytchev: Okay. And then maybe just the last question because, obviously, John, you're based in down south. In terms of what are you hearing when it comes to the client sentiment overall? Like on the one hand, we see a lot of data center sort of benefits and kind of positive commentary. On the other hand, when it comes to the government shutdown, obviously, I mean that's trickling down, hitting potential permits, et cetera. So what are you sort of seeing on the ground right now as you speak to your client base?
John Reid: So on the U.S. side, we've actually got a fairly bullish feel starting to bubble up for Q1 on the demand side. As you mentioned, data centers are really going wide open and driving the nonresidential construction industry. But that has a trickle-down effect, Max, into solar and solar work that's going on. So that's starting to grow as well due to the energy requirements for data centers that cannot be met by the traditional energy sources that are out there through oil and gas. Obviously, there's some nuclear opportunities, either restarting old idle facilities or building new ones. Those are a little bit longer-range projects. So there'll be new ones are 10-plus years. The restarts could be 2 to 5 years. But again, all those are positive trends in the construction industry that's out there. OEMs are pretty solid with the exception of ag. Ag is a laggard right now, and it continues to struggle due to crop prices. There is an interesting dynamic unfolding there that we're watching that we think there will be a whipsaw effect sometime potentially in 2026. Inventories are exceptionally low at dealers in the U.S. and with the new tax incentive to be able to write off the depreciation very quickly being put in place, we think there could be a whipsaw effect on that industry.
Maxim Sytchev: Okay. That's interesting. And I guess maybe while I have you, any comments on the newly released Canadian budget because, again, like the accelerated depreciation is part of that thought process as well and some nation building projects. How do you, I guess, see the environment potentially improving, especially in Western Canada?
John Reid: Yes. The biggest challenge right now is getting moving. We still have to do something and make decisions in Canada on what we're going to do on imports as it relates to steel and steel pricing, how that's going to relate to the Canadian mill segment. That would obviously help our industry if the pricing stabilizes there. We think there's some projects that are in this new budget. The time lines are a little murky as these things come out. But anything related to energy or anything related to infrastructure, obviously, really any of the natural resources of Canada so rich, any of those development projects are going to be a big benefit for steel. It's just when they take place and how long we have to wait on that. The economy in Canada is definitely a little more stagnant than we're seeing in the U.S. right now. But overall, we're pretty pleased with our demand and what we've seen.
Operator: Your next question comes from Michael Tupholme of TD Cowen.
Michael Tupholme: A couple of questions. So regarding capital investment opportunities, there's some language in your release just about the opportunity for additional facility modernization and value-added processing projects. At the same time, it sounds like a lot of the facility modernization opportunities that you were looking at have now been completed and you're sort of exploring future opportunities. So wondering if you can talk a little bit about both of those and what the upcoming year or a couple of years may look like as far as additional opportunities on those 2 fronts.
Martin Juravsky: Sure, Mike. So why don't I just give a little bit of context to history projects, and John could talk a little bit about going forward. So for all intents and purposes, we talked about both value-added projects and facility modernizations, and we had 5 very specific ones in both Canada and the U.S. that we had been focused on. Those projects are done other than some fine tweaking. So those effectively are done. So we're at the stage right now where we're always continuing to scope out new opportunities, but we're just sort of in that middle zone between just coincidentally, those 5 projects that were put on the plate about 18 months ago or so, they're effectively finished. And none of them were huge in of themselves. Those projects range from $7 million to $8 million to $12 million individually. And so they are all good projects, but they've now come to fruition. They're up and running in various forms. It does take a while to scope out new projects and some projects come in, some projects get evaluated, they get put on the back burner, some new projects come in, and the Kloeckner acquisition is a good example of it. So I think it's -- without being too specific, it's fair to say there will be more of those type of projects coming up. They're just -- we haven't green lit them yet. So John, do you want to put some color on that?
John Reid: Sure. Yes. No, thanks, Mike, for the question. And again, a really astute observation there. It's a timing issue. And then when you layer on Kloeckner, where the geography is with our existing service centers in the states where the majority of these projects would be coming from, that has some continuity to it to say do we need to make some changes. So it's just caused us to go back and evaluate some priorities and maybe created just a little bit of a lag effect here, but there's plenty of projects that are still out there that we plan to move forward with. We just want to make sure we have the right priorities in order.
Michael Tupholme: Okay. That makes sense. Shifting over to the energy field stores segment. Obviously, since you made changes to that segment several years ago, it's been a much better performing segment, much more predictable and steady performance. In your outlook commentary, it sounds like you expect that segment to continue to perform well and consistently. I guess the question is just if we look at the Q3 revenues, they were down a fair bit sequentially as well as year-over-year. So just not sure if there's anything unusual going on there and how we should think about that sort of over coming quarters is sort of what's the right way to think about the run rate revenues for that business?
Martin Juravsky: Yes. What's interesting, Mike, you're right, revenues are down, but margins are up. And part of that was because there's one part of our business that tends to do a little bit more of some lumpier stuff and sometimes that lumpier business comes at lower margins. So top line could be oftentimes misleading. And so when you look quarter-over-quarter, the bottom line was within spitting distance of each other, notwithstanding the change in the top line because, yes, top line was down, but the margins were healthier in Q3 than they were in Q2 because some of that lumpier -- and again, not hugely lumpy, but at the margin, a little bit lumpier business that was there in Q2 didn't come with as great margins.
Michael Tupholme: Okay. That makes sense. And then lastly, I'm not sure if this was covered earlier or not, but I apologize if it was. But any impacts you're seeing as it relates to the U.S. government shutdown in terms of how your customers are conducting their affairs, whether that's any actual challenges that they're facing in terms of getting projects moving forward and how that might affect demand for your products or alternatively, just from a sentiment perspective, any impact that's having on them? Just kind of trying to think about the fourth quarter and whether or not we need to be mindful of this for the fourth quarter results.
John Reid: Thanks, Mike. And again, speaking selfishly from my own perspective, the biggest impact is airlines are a disaster. I can't get any connections on time right now. So that's been my biggest personal impact. From a customer base side, we're not seeing a lot of impact as of yet. There will be some government work that could be affected. But right now, everything is on track. I think there's an anticipation it will get settled in the near future, but time will tell. But as of right now, keeping in mind, we have that small average order size and it's out there at $3,400 per average order in our service centers is not affecting our energy spill store segment. So we're not seeing a lot from that at all right now. If it lingers on, I would anticipate there would be some effect.
Martin Juravsky: And the only thing I'd add is just reiterating again, Q4, notwithstanding anything else going on, there is an operating day decline in Q4 versus Q3, Canadian Thanksgiving, U.S. Thanksgiving that's coming up, the Christmas holiday. So we just -- we have down volumes in Q3 -- excuse me, in Q4 all the time just because of those normal seasonal factors.
Operator: Your next question comes from Sean Jack of Raymond James.
Sean Jack: Just a quick one for me. Thinking about how Samuel and Tampa Bay acquisitions have been in the business for a bit of time now, do you mind giving just a quick recap on what value-add improvements have been put in place for each and also just addressing what's left to do in the short to medium term here?
Martin Juravsky: Sorry, Sean, can you see that -- I didn't quite catch the first part of what you said.
Sean Jack: So just in relation to the Samuel and Tampa Bay acquisitions, do you mind just providing a recap of what value-add improvements have been done thus far?
John Reid: So at Tampa Bay, when we bought them, Sean, they were heavy into value-add. So they were already 25-plus percent of their business was value add. They've grown that since then. So we haven't had to add a whole lot of equipment there on a value-add or do any expansions. They've got full facility operating at close to capacity. So not much has changed there. It was really a plug and play. It's a very well-run business. And when we look at Samuel's, it's been more of -- again, we ended up with duplicate real estate in the lower mainline of BC. So we're actually exiting some of the real estate that we have consolidating there. So it's a repatriation of capital in BC. We are moving a line where we had duplicate stretcher leveler lines in Winnipeg. We're moving one of those lines into the states. And so there hasn't been a huge add due to those acquisitions as far as CapEx. In the Samuel case, it was more realignment thing, making sure the equipment was in the right places and making sure we had the right roof lines for the markets that we were in. As Marty mentioned earlier, we pulled the capital from the $225 million acquisition price down to about $125 million or potentially $100 million at the close of this in April. And so with the working capital coming down as well as part of that. So we think that the alignment there is to make sure the appropriate equipment, the appropriate assets are deployed in each region. So again, some of that's being moved around, but there's not been a lot of CapEx value-add spent there, specifically related to those. There has been other spend in Western Canada, and those are different Russel projects.
Operator: Your next question comes from Jonathan Goldman of Scotiabank.
Jonathan Goldman: I just wanted to get your thoughts on what appears to be accelerating consolidation in the service center space and how that might influence industry dynamics for you guys?
John Reid: And again, it's really a tale of, I guess, 2 countries on that. Canada is relatively stable on the consolidation with us doing the same as transaction. There's been a small transaction out West that we didn't participate in, but anything of scale there. But again, Canada is a much more stable environment when it comes to that, less players in the industry overall, more regional. When you look in the U.S., still a highly, highly fragmented market and probably lots of room to run the M&A. It is very active and has been for the last 2 years. So there are opportunities out there. But when you look at the percentage out there, the largest player in the market is probably 15%, 16% of the whole market. And if you combine all the publics, probably maybe 25% of the market. So there's still a large amount of service centers in that $500 million range and down that are private. And it appears that there could be transactions happening. So it could be a very active M&A market over the next 2 or 3 years. It just remains to be seen.
Martin Juravsky: And Jonathan, the one thing I would add is, obviously, it's public about the transaction that was announced between 2 of our U.S.-based competitors in doing a merger announcement a week or so ago. And in some ways, it was interesting because it highlights that service centers as an industry, there's a lot of different ways to operate within the service center industry. And if you look at the operating results of those 2 companies over the last number of years versus our results over the last couple of years, there is a big difference. Our performance has been very, very strong, not just on an absolute basis, but also on a relative basis. And some of that goes to just because people are in the service center business, doesn't mean they have the same operating model. And I think it really goes back to reinforcing our operating model works pretty well in good markets and bad. And the bottom line results have shown that. And that is a highly transactional, highly flexible, highly adaptable business model where we're not tied to certain industries like automotive, for example. Other companies who are more contractual and are more tied to very tough customer counterparties, they have different dynamics and different results. So even though we see some of those transactions that have occurred in that most recent example, it highlights there really are 2 very, very different operating models within the service center business. And those 2 companies have one model, and we have a different business model.
Jonathan Goldman: Interesting. That's good color. And my second question is capital allocation. How are you guys viewing the relative attractiveness versus M&A or buybacks currently? And have you seen any change in seller expectations when it comes to the M&A landscape?
Martin Juravsky: It's a great question, Jonathan, because we -- there isn't a large swath of transactions that occur where we can say, universally, values are up, values are down, multiples are this, multiples are that. It truly is a series of one-off situations. And even in the M&A deals that we have done, the way we've looked at them is very different. A Kloeckner deal is very different than a Tampa Bay deal, which is very different than a Samuel's deal. So even across those 3 most recent examples, there's different metrics in terms of how we've looked at them. In a couple of them, we looked at them, frankly, as asset-based valuations. And one of them is Tampa Bay as an example, and John was talking about this earlier, is more of a going concern value where they have done awful lot of value add in their business. So we kind of looked at it through a different lens. When we look at the market right now, though, there still are a lot of opportunities. That being said, the very, very near-term focus is really getting Kloeckner over the finish line, getting it integrated, getting it focused, getting business up and running there. So there continues to be consolidation opportunities, but we have been and will continue to be highly selective in what meets our criteria. And then your comment about the NCIB, we don't have to pick one over the other, given our balance sheet right now. We can be selective on M&A, and we can be selective on how we use our NCIB program. And if both make sense like they have for the last little bit, we've used both of them effectively. And that's why when we look back over the last couple of years, there's been a fairly active amount of capital allocated to M&A, and there's been a fairly active amount of capital allocated to NCIB and other things as well.
Jonathan Goldman: That's a fair comment on the balance sheet, it's a really good work there.
Operator: There are no further questions at this time. I would hand over the call to Martin Juravsky for closing remarks. Please go ahead.
Martin Juravsky: Great. Thanks, operator. And thank you very much for joining our call. If you have any questions, please feel free to reach out. Otherwise, we look forward to staying in touch during the balance of the quarter. Thanks, everyone.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation, and you may now disconnect.